Operator: Good morning, ladies and gentlemen, and welcome to GreenFirst's Second Quarter of 2025 Results Conference Call. [Operator Instructions] During this conference call, GreenFirst representatives will be making certain statements about future financial and operational performance, business outlook and capital plans. These statements may contain forward-looking information or forward-looking statements within the meaning of Canadian securities law. Such statements involve certain risks, uncertainties and assumptions, which may cause GreenFirst's actual or future results and performance to be materially different from those expressed or implied in these statements. Additional information about these risks factors and assumptions is included in GreenFirst's MD&A and annual AIF, which can be accessed on the company's website or through SEDAR+. [Operator Instructions] I will now turn the call over to Joel Fournier to begin the management presentation.
Joel Fournier: Thank you very much, Joanne, and good morning, everyone, and welcome to our Q2 2025 earnings call. I'm Joel Fournier, the Chief Executive Officer of GreenFirst Forest Products. Today, I'm joined by Peter Ferrante, our CFO; and Michel Lessard, our President. We did end up with a negative EBITDA of $5.2 million in Q2 2025. The loss is primarily due to higher cost of selling, higher SG&A and lower byproduct revenue. In Q2, the cost of selling was impacted with inventory adjustment, representing higher costs coming from finished goods we produced in Q1 and sold during the quarter 2 of 2025. Our manufacturing costs did improve in Q2. SG&A was impacted negatively as well with a noncash expense. Despite the loss in Q2, our cash balance sheet remained strong. On a positive note, our operational performance in Q2 was very strong. Our mill achieved the highest production in the company history, setting a record of 116 million mfbm. The higher output helped us significantly reduce our manufacturing cost in the quarter, which will translate in reduction in cost of sales in the coming quarter when we sell those goods. On the sales side, we shipped 110 million mfbm in Q2. This represents a strong quarter in terms of volume despite overall lumber demand, which was negatively affected by market uncertainty surrounding the tariffs and increase in duty. During the quarter, we learned that the new combined duty rate was expected to take effect in August at 34.4%. But in early August, we ended up slightly above 35%. Unfortunately, for our U.S. customers, the future price rose almost enough to fully absorb this rate increase, raising the cost of new home in the United States and potentially dampening overall demand. As of now, we are now paying any additional tariffs, but we are awaiting for Section 232 report from the U.S. Department of Commerce. On a positive note, the federal government announced a $1.2 billion industry support plan, and we are actively working with them to understand how this could help and benefit GreenFirst Forest Product. We will continue to manage cash cautiously and move forward with only selected capital expenditure. Some of the highlights for Q2 2025 versus Q1 2025. As already mentioned on the production side, we finished significantly higher, reaching the all-time record of 116 mfbm versus 101 thousand -- million mfbm in Q1. We also broke 6 additional production record during Q2. On the sales volume side, we finished with a higher at 110 million mfbm versus 90 million mfbm compared to Q1, supported also by a record of monthly sales volume with our key home center partner during the quarter. SG&A, we were higher in Q2 due to a onetime noncash transaction, but still in line with our previously stated 2024 target of $40 per 1,000 mfbm. Inventory, the total inventory value decreased compared to Q1, but it remained above our expectation. We are implementing a plan to reduce it in the coming months. On the quality side, we continue to improve versus 2024 and the overall mix of product we produce and sell is improving and continue to improve. On the residue side, the price remained challenging, but we maintain sales through long-term contract we have with key partners. We are also developing a medium-term plan to increase demand for our byproduct over the next 3 years. Presently, we do have an agreement with a third party to analyze the opportunity to produce a torrefy pellet plant and a biochar for interested party that we are currently in discussion with. If developed, this project would significantly improve the residue situation for our mills and for the province of Ontario. We will update shareholders as progress is made with this very exciting project. On the capital expenditure and continuous improvement side, from previously announced $50 million CapEx investment program aimed to improving the company cost structure, GreenFirst is proceeding with only selected strategic projects at this time. As already communicated in Q1 2025, we're moving forward with upgrading the production output at our Chapleau facility with the installation of a new sawline, installation of a new planer mill as well as the co-generation plant, which will bring us close to a top quartile cost operation point of view. These projects represent a total investment of approximately $25 million. A portion of the Chapleau mill is currently offline to accommodate the installation of those projects. And so far, everything is going well. Commissioning of the new sawmill is expected to begin at the end of September and the full benefits are expected in Q1 2026, while installation of the new planer and the co-generation equipment will each take approximately 2 weeks and be completed by the end of August. We expect the overall project to be completed on time and on budget. We plan to host an investor tour in Q2 2026, where participants will be able to see the new sawline in action at Chapleau and learn more about the financial benefit it will deliver for GreenFirst. Other major capital initiatives will temporarily pause to preserve our strong balance sheet and maintain an excellent debt position in anticipation of potential economic headwinds. However, as previously announced, we will continue to move forward with smaller, high-return capital projects. At the end of Q2, we completed some such projects with payback period less than 6 months. GreenFirst remains deeply committed to fostering a culture of continuous improvement, essential for maximizing return on capital and driving long-term value for the company and our shareholders. In Q2 2025, we delivered operational improvement in excess of $3 million of equivalent EBITDA improvement. We also recorded a significant safety improvement, reducing our recordable incident rate to 2.1. This is a 50% improvement compared to 2024. We will continue to focus on the factors within our control and pursue opportunity to continue to improve the business. I will touch base a little bit on the market. So what happened in Q2? The lumber market remained uncertain in Q2 with some customers taking a very cautious approach in response in the recent duty increase and the potential looming tariff from United States. Despite all this uncertainty, we did close the quarter with a solid sales volume of 110 million mfbm. The housing market side finished below forecast in Q2 with 1.3 million units sold in June. This is up 4.6% compared to May, but 0.5% lower than June last year and well below the historical year-over-year average of 1.6 million units. Repair and remodeling activity also trended lower during the quarter. Despite these headwinds, we achieved a record quarterly shipment with our key home center partner. We will continue executing -- to executing our strategy to grow this segment in collaboration with them to continue to ship strong volume going forward. Pricing conditions were challenging in Q2 with an average Western base price of $468 per thousand. By August 1, however, Western base had risen up to $535 per thousand, primarily driven by supply constraint following announced mill curtailment by producers such as Canfor, Arbec and other lumber producers. The anticipated duty increase also influenced the future pricing, which rose to absorb nearly the full duty rate increase that took effect in August 2025. On a positive note, the federal government announced to support the Canadian producer of a plan of $1.2 billion, including its intention to boost Canadian housing start by 0.5 million units annually. We will closely monitor development and assess how GreenFirst can position itself to capture opportunity from this initiative. In the U.S., there remain a significant housing underbuild of approximately 2.5 million units. However, for the upcoming quarter, we remain cautious in our forecast, anticipating only modest price gain from recent curtailment. In the short term, we expect demand to remain relatively flat. Finally, GreenFirst remain committed to continuous improvement as a core strategy to enhance business performance. At the same time, we will maintain a prudent and disciplined approach to cash management to ensure the company is well positioned to navigate potential economic headwinds and emerging market challenges. Over to you, Peter, for the financial section.
Peter Ferrante: Thank you, Joel, and good morning to everyone. Please refer to the cautionary language regarding forward-looking information in our Q2 2025 MD&A. The company reported a net loss of $9.6 million in the second quarter of 2025 with an adjusted EBITDA of negative $5.2 million on total revenues of $84.5 million. For the 2 quarters ended June 28, 2025, we reported a net loss of $8.7 million, along with an adjusted EBITDA of negative $100,000 on a total revenue of $156.4 million. Revenues increased by approximately 18% quarter-over-quarter compared to Q1 2025, driven by an increase in shipments of approximately 20 million board feet representing an increase of 22% as we continue to strengthen our relationship with key customers, as Joel made reference to. The shipment increase was offset by a price increase of approximately 2% or $72 per board feet, reflecting a stronger Canadian dollar versus the U.S., combined with a drop in benchmark prices. The lumber industry continues to face headwinds, including reduced demand due to housing affordability challenges caused by elevated mortgage rates, compounded by ongoing uncertainty regarding the potential impact of U.S. trade tariffs despite production curtailments across North America. For the second quarter ended June 28, 2025, the company reported cost of sales of approximately $80 million compared to $62 million in the first quarter ended March 29, 2025. This represents an increase of approximately 29%. Out of this increase, 22% is driven by increase in shipment volumes, combined with an increase of 7% in average cost per unit. Lumber production for the second quarter of 2025 was approximately 116 million board feet compared to 101 million in the first quarter of 2025. This increase in production was primarily attributable to the continued focus on our production efficiencies. From a duties expense point of view, duties were at $8.2 million in the second quarter of 2025, which is higher than the first quarter of 2025 of $5.7 million due to higher shipments. During both quarters, the company was subject to a combined duty rate of 14.4%. Selling, general and administrative expenses for the second quarter of 2025 totaled $4.6 million compared to $2.6 million in the first quarter of 2025. A good portion of this increase is attributable to noncash compensation expense. The combination of these factors contributed to a negative EBITDA of $5.2 million versus a positive EBITDA of $5.1 million in the prior quarter. Under the amended and restated credit agreement, the company's maximum borrowing capacity under the revolving portion of the credit facility is $60 million and under the equipment financing portion $25 million. Taking into consideration that the first half of our fiscal year is our primary harvesting season, the company has made net borrowings of $12.5 million on a year-to- date basis ending June 28, 2025, against the revolving portion of the credit facility. As at the same time, there were $8.6 million of outstanding standby letters of credit issued, which reduces the amounts available to be drawn on the revolving portion of the facility. As such, approximately $39 million was still available to be drawn. Additionally, as of June 28, 2025, the company had net aggregate amount of $12.3 million drawn under the equipment financing portion of the credit facility in the form of a term loan and an additional $12.7 million available to be drawn from. We continue to manage our liquidity through the volatile lumber markets and harvesting season, which requires significant investments in raw materials. We do this prudently by maintaining tight inventory management at the mill level, supplemented by drawdowns against our asset-based lending facility to cover seasonal expenses. Our lending facility, which was amended and extended to September 2028 is secured by borrowings against our inventory. As a result, with higher inventory levels, we are supported with our credit facility during these harvesting seasons. This concludes my remarks, and we will pass it over back to Joel.
Joel Fournier: Thank you very much, Peter. And I would like to thank everyone for joining the call today. We will now answer a couple of questions that have come through.
Operator: [Operator Instructions]
Joel Fournier: Okay. So we did have a first question here. What are company's thoughts on the recent announced duty increase from 14.4% to 35.19% for Canadian shipment to the U.S. from final results of AR 6. What will be the impact on the business? I will let Michel, our President, to answer that first question. Over to you, Michel.
Michel Lessard: Yes. Thanks, Joel, and thanks for the question. For sure, the increased duty rate is very concerning for the industry. However, we've seen in the past that a majority of the cost, as Joel mentioned earlier, so majority of these rates increases have been passed on to the end consumer. So ultimately, this will drive to an increase in the cost of the housing in the U.S. That said, in response to these duty rates increase and potential tariffs, we'll continue to explore also different market opportunities as the uncertainty remains also actually. So -- and I'll terminate in saying that we're hoping also that the Prime Minister of Canada and also the President Trump will come to a resolution very shortly. The forest industry in Canada has already paid around USD 7.5 billion in duty since 2017, and we are looking certainly for a settlement in the near term.
Joel Fournier: Okay. Joel, again, we do have another question here. Can you talk a little bit more about what you're seeing in demand and pricing right now? I will take this one quickly. So during Q2 2025, the price decreased from previous quarter. However, recently, we saw some -- the lumber future increase in response of the higher duty rate announced in July and August 2025 and any potential tariff announcement. So it's very good to see the lumber future price rose following those announcements. There's still also some uncertainty related to demand. However, like I mentioned in my previous saying, we did ship 110 million for the quarter. This is a good volume from GreenFirst. But the volume was largely driven by our long-term relationship with their home center. We do have a strategy to grow that business, and it starts to pay off as far as volume and price, and we're going to continue to focus on growing that business. Additionally, we noted that some of our competitors continue to announce sawmill curtailment. So any time there's a mill that go down, it push pressure, it reduced the supply. Therefore, it put pressure on price. Okay. We do have another question here. You've made reference to production record during Q2. Why don't we see the benefits of this in your financial statement? I will let Peter Ferrante, the CFO, answer that question.
Peter Ferrante: Thank you, Joel. So as you know, the majority of the lumber we sold during the second quarter relates to production coming from our prior quarter. As such, the production costs associated with the prior quarter are actually in our cost of sales for this quarter. We anticipate that these benefits that we -- from our Q2 production records will translate into a reduction of cost of sales in the upcoming quarter as we sell through the lumber produced in Q2 during Q3. As of June 28, on our balance sheet date, we held approximately 90 million board feet on our balance sheet of the 110 million that we had produced during the quarter. So we will see the benefits of Q2 being translated into Q3.
Joel Fournier: Okay. We do have another question here. You've spoken about the CapEx related to the Chapleau large log line in the past. Can the company provide any update regarding this project? I will take over this one. As always, we're talking -- we're taking a prudent approach with our capital expenditure. But we're presently installing not only the large log line, but also a brand-new planer mill and a refurbished co-generation plant in Chapleau sawmill. And like I said, we're expecting the combination of this project to have a significant positive impact on the mill profitability profile. Just to say, maybe it's not fully relevant for the investor, but the line we're replacing at Chapleau was a 40 years old line, and we're putting brand-new technology, including artificial intelligence. So we're looking to see a significant impact on our cost profile and EBITDA going forward. Okay. So we do have another question here. Could you explain why GreenFirst is subject to the higher 34% duty versus 22% referenced for the smaller players? I will let Michel, our President to answer that question.
Michel Lessard: Yes, thanks Joel. I would simplify the answer. So what is happening is that you will have some major lumber producers that are selected for the calculation that will determine the duties and after that, we're just getting the average as all the other companies are getting. So the 35.19 that has been announced is an average of this calculation and the average of what the major lumber producers that has been selected...
Joel Fournier: Okay. We do have another question here. Joel, could you discuss the balance sheet? Specifically, what is the plan will be if 232 hits further. So those are potential tariffs that could come at us. So I got like kind of 2 questions in the same question. I'll answer the first one here. So we -- of course, we made scenario, forecasting scenario if potentially we've been hit with the 202 tariff. It's hard to determine if those tariffs will come through, and it's hard to determine what kind of percentage we may be hit with. But we -- I can reassure shareholders that we made several scenarios. And as a result of that, we -- that's the reason why we decided to park half of our $50 million CapEx that we announced in Q1. And with -- by keeping this money, we're going to continue to keep a strong balance sheet. We're going to continue to have a cautious approach until we have more certainty around those tariffs. There's another question here from the same person. Would a shift towards international markets be a possibility? So yes, this is -- all good question, but I like this one particularly. So all of our mill are Canadian mill. And of course, we're looking at different markets. And presently, as we speak, we're looking to build a strong partnership with consumer, local consumer, mainly in Toronto area, and we're looking to develop this partnership so they could consumer wood, and that will diversify some of our shipments from U.S. to Canada. Okay. Another question here. Do we -- does the company -- what about considering a full sale of the company? So this decision, it's above us. It's a Board decision, and it's up to them to consider if they're willing to sell or not. Okay. We do have another question here. How would a quota system that has been floated by BC could impact GreenFirst operation? So I will answer this one. Of course, quota could impact GreenFirst, but we're preparing ourselves and potentially in response to that. So we presently ship between 70% to 85% of all our wood to United States. But we're presently looking, like I already said, to develop a partnership with some local wood consumer in the region of Toronto. In fact, I'm going to meet a couple of players next week. So our strategy is to look at what we can do with them, build a relationship and a partnership and start to sell more volume locally. We -- of course, we cannot sell all the volume we produce in Canada. But if a quota hit, we're going to have to diversify a little bit a higher percentage to local market versus United States. But as we speak, we're working on that, and we're preparing ourselves to that. Okay. So we did have 2 questions that look very similar here. The first one is what will happen to the current offtake agreement with Rayonier if a new place is found for the residual? And the other question is, can you clarify the company plan to address any potential exposure related to its byproduct? So I will let Michel, our President to answer that question.
Michel Lessard: Yes. Thanks, Joel. So currently, our exposure is minimized as we have long-term contracts as referred here also in one of the questions with Rayonier Advanced Materials, and we have also a similar contract with Kap Paper Inc. So in this contract, they have to purchase the chips or redirect it's if they don't take it. So to that question about what could happen with Rayonier's contracts. So the contracts remain. Again, it's to them to use it or to find a room for the chips if they don't use it. That said, the industry remains challenging with the closure of 3 major pulp and paper over the last 2 years, including Rayonier Advanced Materials and also Espanola and Terra Bay. So on that, we continue to look for different alternatives to enhance also the value of our by projects. As Joel mentioned that also earlier that we're currently exploring long-term plan to build a torrefied pellet plant in Chapleau. And we'll look also for different opportunities for each of our sites. So on this specifics, we'll be able to provide more details in the following months.
Joel Fournier: Okay. We do have, again -- well, 2 questions that look really the same. So does GreenFirst have any plan to take advantage of government grant loan recently discussed by the [ Prime Minister ] Carney. And the other question is recently, the Prime Minister announced a program supporting the Canadian softwood lumber industry with program totaling $1.2 billion. Do you believe the company will benefit from this program? I will let Michel answer the question, and I will complete after.
Michel Lessard: Thank you, Joel. But first, I would say that we're very pleased to hear also that our federal government recently and phases that the Canadian softwood lumber industry is now a top priority as part of their overall discussion with the U.S. We also believe that the Prime Minister's recent announcement last week of this $1.2 billion confirm also the importance for the Canadian softwood lumber industry in this time of uncertainty. Specifically on the programs, it's very early, but we have started speaking with some government officials to better understand how and also when they will be accessible and more specifically for GreenFirst. So more to come on that, as I said. So that has been announced, but no details are available yet.
Joel Fournier: Okay. And if I may add to Michel answer, like Michel said, we're waiting for the detail, like they make those announcements, but we're waiting for the detail on how we're going to position ourselves to take advantage of that. But I would like to mention to the shareholder that we're 100% Canadian. GreenFirst, we're 100% Canadian. And this help is for us. So we're going to look to utilize every single dollar available to us in terms of project. I know we're waiting for the detail, but we do have projects ready to go. We just need to have more information from the government, and we're closely in discussion. We continue to be in discussion with them, and we're ready to go as they unfold the detail. One thing they did mention in their plan is they would like to boost and foster the housing start in Canada by 0.5 million units per year. I'm very excited by this one. So like I said earlier, if this -- when this come to fruition, it's going to create more demand for lumber, and therefore, it's going to push price up if they build more houses in Canada. 0.5 million, it's not a small number. It's a significant number for our country. So in preparation of that, like I said earlier, we're looking to develop more partnership to diversify some of our sales in Canada and increase the relationship with some of the key homebuilder in Canada to potentially take advantage of this increasing housing start. Okay. I would like to thank -- we have a lot of good questions today. I would like to thank all of the shareholders and the participant on the call to -- for their participation. Thank you very much for your time, and this concludes the Q2 call. Thank you very much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.